Ana Soro: Good morning. I'm Ana Soro from Palantir’s finance team, and I'd like to welcome you to our Third Quarter 2023 Earnings Call. We'll be discussing the results announced in our press release issued before the market opened and posted on our Investor Relations website. During the call, we will make statements regarding our business that may be considered forward-looking within applicable securities laws, including statements regarding our fourth quarter and fiscal 2023 results. Management's expectations for our future financial and operational performance and other statements regarding our plans, prospects and expectations. These statements are not promises or guarantees and are subject to risks and uncertainties, which could cause them to differ materially from actual results. Information concerning those risks is available in our earnings press release distributed before the market opened today, and in our SEC filings. We undertake no obligation to update forward-looking statements, except as required by law. Further, during the course of today's call, we will refer to certain adjusted financial measures. These non-GAAP financial measures should be considered in addition to, not as a substitute for, or in isolation from GAAP measures. Additional information about these non-GAAP measures, including reconciliation of non-GAAP to comparable GAAP measures, is included in our press release and investor presentation provided today. Our press release, investor presentation and SEC filings are available on our Investor Relations website at investors.palantir.com. Over the course of the call, we will refer to various growth rates when discussing our business. These rates reflect year-over-year comparisons unless otherwise stated. Joining me on today's call are Alex Karp, Chief Executive Officer; Shyam Sankar, Chief Technology Officer; Dave Glazer, Chief Financial Officer; and Ryan Taylor, Chief Revenue Officer and Chief Legal Officer. I'll now turn it over to Ryan to start the call.
Ryan Taylor: We are pleased to report that our company achieved GAAP profitability for the fourth consecutive quarter, and we continue to drive strong results across our company. In Q3, we closed 80 deals of $1 million or more across 30 industries, 29 deals of $5 million or more across 16 industries, and 12 deals of $10 million or more across 11 industries. Our U.S. commercial business accelerated last quarter, growing 33% year-over-year. Excluding strategic commercial contracts, it grew 52% year-over-year and 19% sequentially, and three-fourths of our quarter-over-quarter growth is from customers that started with us in 2023. Our U.S. commercial customer count rose 12% quarter-over-quarter and is now ten-fold what it was just three years ago. Deal count for our U.S. commercial business is 2.4x what it was in Q3 of last year and U.S. commercial TCV closed at $252 million, up 55% year-over-year on a dollar-weighted duration basis. We're also seeing the acceleration of larger deals and shorter times to conversion and expansion, including a multiyear deal in excess of $40 million with one of the largest home construction companies in the U.S. to start up pilot and converted all within Q3. This growth is in part due to AIP's continued transformation of the way we partner with and deliver value for our customers, and we expect AIP's impact to continue to intensify. The rapid expansion of AIP at both our existing and new customers, and the impact it is having on their operations is nothing short of remarkable. In the last quarter, we reoriented our go-to-market approach around AIP boot camps, which has allowed us to deliver real workflows on actual customer data in five days or less versus our traditional pilots, which generally take one to three months. We're seeing different stakeholders at the table, including tangible engagement from IT, a quicker time to value for customers, a wider range of organizations partnering with us and the ability to have multi-organization boot camps. Early indications point to vast improvements on our unit economics from initial contact to customer conversion, all while accelerating new customer negotiations. Boot camps are also driving contract expansions. We're on track to conduct boot camps for more than 140 organizations by the end of November, nearly half of those are taking place this month alone, which is more than the number of U.S. commercial pilots we conducted all of last year. In these boot camps, our customers attack problems that have immediate impact and learn how to deploy AI into their unique operating environment in a matter of days. Our customers' results speak for themselves. One attendee said that we achieved more in one day for them with AIP than one of the top three hyperscalers had accomplished over the last four months, and then presented their work with Palantir instead of the hyperscaler to the CEO the very next day. Another attendee said, we basically built 10x faster with 3x less resources, and yet another claimed, we have built in a day what they wouldn't be able to get internally in months, and then it probably still wouldn't meet the requirements. AIP is being used for a multitude of workflows at customers across the globe. Just a few examples include the following: our partners in the health care space, including Tampa General, HCA and Cleveland Clinic, are using AIP for dynamic scheduling, turning software from a place of data entry into a provider of operating leverage. Aramark is using AI to procure more efficiently, generating custom proactive negotiating strategies. Panasonic North America is using AIP to scale its workforce and accelerate how quickly new engineers can level up. Eaton is using AIP to more efficiently deploy fixes by identifying available materials across different plants or assembly patterns. Carrefour Brazil is increasing the fill rate of online grocery orders with higher accuracy. The energy and engagement around AIP is unlike anything we've ever seen. The potential market for AIP and the trajectory of possible AIP growth for our business is massive. We almost tripled the number of AIP users last quarter and nearly 300 distinct organizations have used AIP since our launch just five months ago. We will continue investing meaningfully in boot camps as our go-to-market strategy for AIP. Through all of this, we never forget that we are a company built on a foundation of counterterrorism. In response to recent world events, we continue to be dedicated to our founding principles of supporting the most important missions in the world, including providing intelligence and defense capabilities to global allies. In that vein, our impact has never been more compelling. We have the products now that the world needs. We expect our U.S. government business to reaccelerate beyond the current growth rate of 10% year-over-year, given increasing demand for those products to support our allies around the world. While we continue to expect near-term uncertainty given budgetary environments, we were encouraged by the pickup in activity at the end of the U.S. government fiscal year, and we feel well positioned for long-term growth through our evolving strategy, which Sean will speak to further. Just several weeks ago, it was announced that the Army awarded us a new contract worth up to $250 million over three years to provide additional capabilities in support of COCOMs, armed services, intelligence community and special forces as they continue to test, utilize and scale AI and ML capabilities. As we enter the final months of the year, we are steadfast in our focus on AI and unlocking the impact it can have for our customers. We look forward to continued business momentum through year-end and are excited for the opportunities to continue delivering unmatched impact for our customers into the new year. I'll now turn it over to Shyam.
Shyam Sankar: Thanks, Ryan. At AIPCon 2, this past September, I unpack some of the foundational engineering challenges that we've solved to deploy LLMs that are anchored in your data on your private network and to safely orchestrate your enterprise with tools, actions and other AI models. The core concept of the KLLM kernel enables you to reliably harness LLMs for critical workflows to manage the risks in the underlying models changing out from underneath you and to create the shortest and safest path to put your own fine-tuned models into production. Why use one LLM when you can use K? The art is in synthesizing the outputs from this committee of experts to create a rich topology of answers to the prompt. LLMs are statistics, not calculus. It's more like predicting the weather than predicting an eclipse. And that's why we're focused on proof, not proofs of concept. AIP gives our customers the infrastructure they actually need to ship production use cases quickly. This difference has been so profound that we shifted the entire commercial organization to focus on one to five-day long customer boot camps, where organizations exit with a scalable use case on their actual data that they built for themselves. Customers leave so excited with this definite optimistic view of what can be accomplished, and how they'll drive transformation in their organizations. And these boot camps have created enormous tailwinds with IT attendees for two reasons. First, we're defining the most advanced and valuable reference architecture for GenAI in the enterprise. And second, with the release of virtual tables and foundry, IT's primary objection of data duplication is eliminated. We're running more boot camps per month than we had U.S. commercial pilots all last year. These boot camps really allow the customer to experience three magic moments for themselves. First, that you really can't use LLMs without tools. That elegant integration of algorithmic reasoning to unlock the full potential. Second, that the object, in other words, the rich representation of your enterprise and its state and not chat is the prompt, or said differently, the Boot Camp experience enables them to transcend chat. And finally, the power of live integration of expert feedback through the AIP infrastructure to efficiently generate adaptive models. At the end of the boot camp, customers say things like, once you see it, you can't unsee it. As Ryan mentioned, it's common to hear attendees express that they could do in days what they couldn't previously with other AI technologies and months. In September, we also launched Palantir Government Web Services to expand Palantir's mission by supporting and growing today's nascent but inspiring defense tech ecosystem. Through Palantir GWS, we're providing emerging and existing companies in the defense industrial base with the enabling software to quickly operationalize their mission-critical capabilities at scale, all aimed at minimizing the value of death and bringing the best of America's greatest advantage software to the fight. FedStart and Apollo are the first offerings in GWS. FedStarts platform accreditation as a service offering radically compresses the timeline and cost of unlocking IL-5 markets and beyond. Apollo's autonomous software delivery platform is the most technically mature and sophisticated approach to continuously delivering complex modern software to the thousands of edge environments required to deter and defeat threats in the Pacific. FedStart customers like CalypsoAI and PrimerAI and Apollo customers like Lockheed shared their acceleration journeys at our software for government conference hosted in our DC offices in September. The reaction to Palantir GWS has been amazing. VCs, defense tech entrepreneurs and government PMs are responding to the investments in a big tent ecosystem and the efficiency and scale that we're providing. We also launched our mixed reality service and immersive C2, an application that was built on the mixed reality service at the Army's AUSA Conference in October. It was met with rave reviews. Our immersive C2 application showed how command and control could be done on the move in the back of a vehicle, leveraging mixed-reality headsets built on GWS infrastructure. And our mixed reality service will mean that any application that builds on or integrates with GWS can instantly enable their own mixed reality offering. Finally, our products could not be playing a more central role for real-world events. It's incredibly rewarding to see the products that we've built over the last 20 years meet their moments, often in new and impactful ways. From MetaConstellation, which is enabling tactical overhead imagery in the field, to guide for mission planning, to even foundry for complex video imagery and audio analysis and automation. From the mission data platform and its real-time cross-domain collaboration across allied nations to MAVERICK for target effect repairing and advanced fires execution. These real-world events validate the investments that we have made over the last five years, and strengthens our conviction in what we are building now for the future. And with that, I'll hand it over to Dave to talk us through the financials.
David Glazer: Thanks, Shyam. We had an exceptional quarter. Revenue growth reaccelerated on the back of our U.S. commercial business, driven by our intense focus on AIP, while margins continue to expand, demonstrating the transforming unit economics of our business. We beat the high end of our guidance range on both top line and bottom line and increased our Rule of 40 score 800 basis points (ph) quarter-over-quarter to 46, while simultaneously delivering our fourth consecutive quarter of GAAP profitability, the first time ever that we are GAAP profitable on a trailing 12-month basis. We also delivered our third consecutive quarter of GAAP operating profit and over $0.5 billion in adjusted free cash flow over the last four quarters. Turning to our global top line results. Third quarter revenue reaccelerated to $558 million, up 17% year-over-year and 5% sequentially, exceeding the high end of the range of our prior guidance. Excluding the impact of revenue from strategic commercial contracts, third quarter revenue grew 21% year-over-year and 6% sequentially. Revenue from our largest customers continues to expand. Trailing 12-month revenue per customer from our top 20 customers increased 13% year-over-year to $54 million per customer. Customer count grew 34% year-over-year and 8% sequentially to 453 customers as we remain focused on landing new accounts. Now moving to our commercial segment. Third quarter commercial revenue grew 23% year-over-year and 8% sequentially to $251 million. I'd like to congratulate the entire commercial org for reaching a $1 billion annualized run rate milestone this quarter. It's quite an achievement. Excluding the impact from strategic commercial contracts, commercial revenue grew 34% year-over-year and 11% sequentially. In the third quarter, U.S. commercial revenue reaccelerated to $116 million, up 33% year-over-year and 13% sequentially. Excluding revenue from strategic commercial contracts, U.S. commercial revenue grew 52% year-over-year and 19% sequentially. We continue to see the impact of our intense focus on AIP on our commercial business, both through the adoption of new customers and the expansion of opportunities at existing customers. We booked $252 million of U.S. commercial TCV, representing growth of 55% year-over-year on a dollar-weighted duration basis. Our U.S. commercial customer count grew to 181 customers, reflecting 37% growth year-over-year and 12% sequentially, benefiting from the increase in velocity of our AIP go-to-market motion. This represents a ten-fold increase in U.S. commercial customer count from when we went public just 3 years ago. Our international commercial business was up 15% year-over-year and 4% sequentially to $134 million as we continue to capitalize on targeted growth opportunities in Asia, the Middle East and beyond, while conditions remain challenging in Continental Europe. Revenue from strategic commercial contracts was $15 million or 2.6% of quarterly revenue, down from $19 million in the prior quarter. We anticipate fourth quarter revenue from these customers to continue to decline to between $13 million to $15 million, representing 2.3% of expected fourth quarter revenue. Shifting to our Government segment. Third quarter government revenue grew 12% year-over-year and 2% sequentially to $308 million. U.S. government revenue grew 10% year-over-year and 2% sequentially to $229 million. While it's hard to predict exactly when our government revenue will reconverge at historically high CAGRs, as Shyam mentioned, our products, PG, GAIA, MetaConstellation and AIP are needed in battlefields across the world and even more so in the current geopolitical landscape. International government revenue grew 21% year-over-year and 2% sequentially to $78 million, bolstered by our continued work in health care and defense. Moving to bookings. TCV booked was $830 million, up 29% sequentially. Net dollar retention was 107%, impacted primarily by headwinds from our commercial business in Continental Europe. Net dollar retention does not include revenue from new customers that we acquired in the past 12 months and is, therefore, not reflective of the recent acceleration in our U.S. commercial business. We ended the third quarter with $3.7 billion in total remaining deal value and $988 million in remaining performance obligations. As a reminder, RPO is primarily comprised of our commercial business as it does not take into account contracts with an initial term of less than 12 months and contractual obligations that fall beyond termination for convenience clauses, both of which are common in most of our government business. Our U.S. commercial business saw total remaining deal value growth of 23% year-over-year and 27% sequentially when excluding the impact from strategic commercial contracts highlighting the acceleration of our go-to-market motion. Turning to margin and expense. Adjusted gross margin, which excludes stock-based compensation expense was 82% for the quarter. Adjusted income from operations, which excludes stock-based compensation expense and related employer payroll taxes was $163 million, representing an adjusted operating margin of 29%, 400 basis points ahead of the high end of our prior guidance, and marking the fourth consecutive quarter of expanding adjusted operating margins. Q3 adjusted expense was $395 million, down 1% sequentially and flat year-over-year. In short, we've been able to flatline expenses for four consecutive quarters while investing significantly in our products, including AIP and reaccelerating our revenue. This drives home the efficiency and operating leverage of our software at scale. R&D adjusted expense was up 9% year-over-year and 11% sequentially, demonstrating our commitment to continuously drive forward product innovation and invest in technical talent. Over the past year, we have emphasized our unwavering dedication to sustain GAAP profitability and GAAP operating income. Our four consecutive quarters of improving GAAP operating income enable us to more aggressively invest in AIP. Looking ahead to the fourth quarter and beyond, we remain focused on calibrating expense growth below revenue growth, even as we increase investment and resourcing to AIP and in specific geographies around the world. In the third quarter, we generated GAAP operating income of $40 million, our third consecutive quarter of GAAP operating income. We also generated GAAP net income of $72 million, representing a 13% margin, our fourth consecutive quarter of GAAP profitability. This is the first time we've ever achieved both GAAP net income and GAAP operating profitability on a trailing 12-month basis. While we continue to manage our stock-based compensation expense, as I mentioned in previous quarters, we expect it to trend up in Q4 as we continue to invest in AIP. Third quarter adjusted earnings per share was $0.07 and GAAP earnings per share was $0.03. Additionally, our combined revenue growth and adjusted operating margin accelerated to 46%, an 800 basis point increase to a Rule of 40 score from the prior quarter. We will strive to maintain this exceptional balance of top and bottom line performance. Turning to our cash flow. In the third quarter, we generated $141 million in adjusted free cash flow, representing a margin of 25%, and $133 million in cash from operations, representing a margin of 24%. Over the past four quarters, we've generated $490 million in cash flow from operations and $502 million in adjusted free cash flow, marking the first time we've exceeded $0.5 billion in adjusted free cash flow on a trailing 12-month basis. We ended Q3 with $3.3 billion in cash, cash equivalents and short-term U.S. treasury bills. We retain access to additional liquidity of up to $500 million through our revolving credit facility, which remains entirely undrawn. Now turning to our outlook. For Q4 2023, we expect revenue of between $599 million and $603 million, adjusted income from operations of between $184 million and $188 million and GAAP net income. For full year 2023, we are raising our revenue guidance to between $2.216 billion and $2.22 billion. We are raising our adjusted income from operations guidance to between $607 million and $611 million and we continue to expect GAAP net income in each quarter of this year. With that, I'll turn it over to Alex for a few remarks.
Alex Karp: Welcome. I don't think the camera is working. Welcome to our earnings. Obviously, current events and the performance of our business are absolute validation of our strategy of building the world's most aligned and powerful enterprise products years, sometimes decades before they're needed before you could imagine their power. AIP and U.S. commercial, not only is disrupting the market, it's setting a standard that I don't believe any other software company will be able to reach partly because they misunderstood the value of LLMs and their relative importance and lack of importance, partly because they don't have decades of experience on the frontline as we do in the military with managing the core ways in which you make these things precise, the way in which you provide governance. Also because the playbook backed by venture capitalists and supported by analysts has always been make the thinnest technology possible that is misaligned with your enterprise and hire the most and best salespeople so the enterprise gets moderate value while having its high revenue exported in a parasitic manner to the cheers of insiders and the pain of retail investors and we obviously rejected that. And then on the mission side, we have been saying and building products for a world that is violent, disjointed, irrational, a world in which you have to show strength, a world in which, if you do not show strength, people who are biased, xenophobic, dare I say any somatic will rear their head. A world in which you really have to pick sides. Palantir is the first major company to in my view to have said from the beginning, I think that is obviously true. There is no such thing anymore of being on all sides. Palantir only supplies its products to Western allies. We've never supplied our products to enemies. We proudly support the U.S. government. I am proud that we are supporting Israel in every way we can. And we also support plain English speaking. So when people are massacre to the equivalent of almost 50,000 people in Israel, we view it as a terror act. We call it terrorism. We supply our product to people who're fighting terrorism, and we have no problem with describing as it is or sticking up for our allies and we don't provide false context. All of a sudden, you need a lot of context for describing what it means to kill Jews or persecute jews across the world. I believe, in context and we -- in places where you need to actually provide it. But at Palantir, we have seen that our view of the world which is that there really are people that are violent and not in conformant with morality need to be fought. And we are supplying these products that we've built over the last 20 years to our allies, and we are proud of the results. And I would say -- also, even commercially, you are going to see that our alignment with our client, our alignment with our society pays major dividends. And for those of you who are along for the ride, we really celebrate you. And we are going to bring our warrior culture to our products, to our market fit and the results of which we are going to bring to our allies.
A - Ana Soro: With that, we'll begin with a few questions from our shareholders before we open up the call. Our first question is from Christopher. The current situation in Israel has opened the eyes of other allied countries around the globe, specifically, are there current or future plans supporting our allied partners in Asia with Palantir products?
Shyam Sankar: Absolutely. The short answer is yes. I think not only can we look at Israel, but we can look even before that at Ukraine and the lessons that we've learned there. And I would distill that down simply to that you must preposition data, software and hardware well ahead of the fight there and create a partner mesh network of command and control nodes to really provide a difference here. So that's one major thing. And so we're spending a lot of our time on our energy thinking about how do we get as much mass west of the international dateline as possible to be prepared to meet those moments. And make no mistake, there's a lot to be done there. The other lesson specific from Israel is how much faster you can move when you create a big tent tech ecosystem that allows you to bring a lot of other defense tech start-ups along with you. The capabilities that we were able to give the Israeli government by bringing in other Israeli startups as well as international start-ups was incredible. And that's a key lesson that we're taking forward with us as well. And it's embodied and enabled by Palantir government web services.
Ana Soro: Thanks, Shyam. Our next question is from Sony. Congrats on well executed AI bots delivering tangible value very quickly. Could you kindly attempt to synthesize the top three observations from those boot camps for enterprises to launch AI-enabled decision management systems to power forward their critical objectives?
Shyam Sankar: Sure. I'll take a first stab at this. I would say, one, it's about the magic moments. So the first bit of this that I think people get out of is, what does this really mean to understand that you can't really use these LLM without tools? So how do you bring that tool bench forward? Two, it's a realization that the semantics of your business ought to be the prompt. And we are uniquely positioned there because the best way to do that is to serialize those semantics into your oncology to use the object model that we have to do that. And so getting...
Alex Karp: We've already built and deployed. One of the most interesting things about the commercial market is there are all these tools we built that basically not only allow you to manage LLMs, but they are -- they basically pen test your enterprise. So always de facto what in the past where you were selling was misaligned with your enterprise. AI forces an alignment with your enterprise. And so you begin to ask really business relevant questions. And then because of essentially our ability to take the knowledge of your business and put it into the LLM and then extract from the LLM something relevant and then manage it, you get both the power of the LLM and you get the shock movement of the enterprise actually saying, wait a minute, you're providing me something that actually is good for my enterprise. Quite frankly, it's almost like taking an alcoholic off alcohol and saying here's your health drink. And it's like -- and the reason why it just is very, very hard to compete against that is because the other players in this space are actually built to take you away from what is good for your enterprise. How do you make better margins? How do you make your products more safer? How do you take the task at knowledge of a Japanese manufacturing company and build in America with all the advantages of America and the tasset knowledge of Japanese manufacturing. That's what we're actually doing with these things. And then there's all these things we've built that would take decades, years and years and years to build, even if you understood them, that we'd already built.
Shyam Sankar: And to add on to that, the Japanese example shows it. I think the third major magic moment that's impactful there is this incorporation of real-time expert feedback and thinking about feedback as data type unto itself. Not having to retrain or upgrade the parametric knowledge of the model, but actually being able to use feedback dynamically live to create an adaptive model.
Alex Karp: And then -- and I'm sure Ryan will talk about this, the scale function of this. It's like one of the logical question is, is if you're doing well, why are you so happy that you have $40 million in operating income. Well, it's because the unit economics are so good moving from boot camp from pilots it took six months to boot camps to take officially two days, I was in one that took 6 hours, are so efficient, we don't -- it's like we're just -- we're like -- there's a limit to how much resources we can pour into this. So we're like doing all these things, and we're educating people and we're doing it at scale that is equivalent to already one month as much as we did all year last year.
Ryan Taylor: Yeah. And with our relentless execution, we're seeing the ability and how much easier it is lowering the barrier for customers to see our product applied against their data in real workflows. And so we're seeing the network effects of that. We're seeing customers who have used AIP in one context, going to new companies, adopting it at new companies and converting quickly. We're seeing customers that were with us years ago who are coming back to us because we have the product now that works for what they need. And we're seeing that in a way where they may be tried to build themselves and failed, and they're now able to implement it effectively and quickly in that environment and the vast kind of expansion and advancements of our products are showing that...
Alex Karp: And one of the things that -- I mean, I'm very bullish on the U.S. and, quite frankly, a little bit less bullish on every place else. But one of the things that's amazing about the U.S. is, people change jobs and people know how good our product is. In the minute they change their job, they call us. And some of the results if you disambiguate and normalize the results to take out packs, U.S. grew -- is growing 52% -- 52% off of a large base, which is why I think we can accelerate it to a $1 billion run rate by '25. But it's because the how dynamic America is and people moving around, taking the product, combined with our ability to execute in a new commercial motion that is just literally a game changer for how we go to market. And by the way, we always kind of neglect to mention this. It's also a game changer internally. Like culturally right now, partly because we're on the frontline fighting what amounts to Evil, partly because a lot of people don't agree with us and those that do realize that they need to stand up and stand with us, and partly because we were right about what you should supply to U.S. commercial, it's just a really good value internally. It is just -- it's like we're really -- it's really fun to crush it. And quite frankly, it's occasionally fun to watch you're apparently perfect fake competitors deliver things that don't work and to watch us walk in with our crazy show and deliver things that do.
Ana Soro: Thank you. Our next question is from Samit, who asks, does Palantir view the USG hardware primes as allies or competitors?
Shyam Sankar: We view the PRIMEs as allies and government -- Palantir government web services, it really enables it. So two of the primes are customers of Apollo. Two of the primes are using foundry to improve internal production and systems integration. Another prime Northrop has joined our Titan team. And I think from our perspective, America needs a prime. So like our national security depends on them. There's a lot of talk in defense tech circles about disrupting the primes. And I think there's incredible opportunity to transform what's possible with software, which, in my opinion, we're leading. But fundamentally, they're crucial to our national security, and that's because production does matter. You have to bend metal at the end of the day. And using 10 years of munitions in 10 weeks in Ukraine really underscores that point. But increasingly, production is itself software-defined and optimized. In fact, that's most of our commercial business, helping Airbus with the A350 and single-aisle ramp-up, helping BP produce more hydrocarbons, helping Panasonic build more batteries for Tesla cars, like that sort of transformation efficiency is what we want to bring to the primes as well as they've been metal.
Alex Karp: Maybe what Shyam has done a really magnificent job of is, it's fair to say the primes thought we were competitive with them until recently, and not just primes, but others. But because really to get access to the kinds of data that the Pentagon has you're going to be able to -- you're going to need either Palantir or be able to build something like Palantir. And I think in all modesty, people have realized it's pretty damn hard to do what we've done. And so there was this kind of perceived misalignment. And what Shyam has been building out with FedRAMP is giving people a way to partner with us where they can extend what they're doing without having to try, which everybody still does, but it's commonly known will not work. The ability to have access to the underlying data for reasons that are highly technical, it's crazy hard to do. And so getting that full alignment is both much better for Palantir and much better for the nation. And then we're, of course, interested in it because we're pretty mission-focused and we want the nation to function better. And we're also realistic. It's not good for us to be fighting battles. We know we're much better at software. We have no interest in going into hardware. I think increasingly, they know they should not fight us on software, although some still do, which is largely stupid.
Ana Soro: Thank you both. Our next question is from Mariana with Bank of America. Mariana, please turn on your camera and then you'll receive a prompt to unmute your line.
Mariana Perez Mora: Morning, everyone. So I have two questions for you. Number one is on the government side, all these geopolitical events, we have seen all these countries moving really fast to actually enhanced readiness and modernization is a key asset. What is your expectation for the U.S. actually moving at this need of speed or that speed of need under a more bureaucratic -- usually more bureaucratic environment? And the other one is AIP. You have discussed already how it changed or was a catalyst for customers to be able to adopt data analytics and data infrastructure. But I'm interesting to understand, beyond boot camps, what else is changing internally? How you face customers? How you build things with AIP, and how that is impacting your margins because they look like 30% operating margins now versus 25% that you were printing before?
Shyam Sankar: Maybe to start with the second one here with AIP. I think you should really think that the boot camp is more than just what's happening in the boot camp. Because you're exiting the boot camp with a series of use cases that are production ready or near production ready that you can go forward with. You're exiting the boot camp with as the customer and usually IT with enough hands-on experience with the product that you can actually keep going and compounding it going forward. So there is this exit velocity that's fundamental to it, where it's not just the go-to-market motion, it actually now becomes the implementation motion. It becomes the way in which you engage with partners because now partners can run their boot camps. Partners can drive use case growth for themselves around what came out of the boot camp and the exit velocity around that. So I think it's quite profound and why you're seeing both our emphasis of it and the impact that it's having on both the financials and the operating reality of the business.
Ryan Taylor: Yeah. As we mentioned on the last earnings call, we were focused on usage and value of AIP, and we're seeing that by the end of November, 140 organizations will have delivered boot camps too, and we're seeing that and then the conversions that flow from that as well.
Shyam Sankar: And to put that number in perspective, I think roughly 70 of those boot camps will happen this month in November, which is more than the number of commercial pilots we did all of last year. So the velocity scale...
Alex Karp: And we're just starting. So like we're ramping up to doing them. It's -- yes.
David Glazer: And then I guess on the margin side, what you're seeing is like we are investing pretty significantly. R&D is up sequentially 11%
Alex Karp: I think the thing that is confusing is our go-to motion now in U.S. com is so efficient. So as you could basically look at, it is 10x more efficient, and we are ramping it up. But this is the most efficient way for us to go to market. So it's like there's -- it's not constrained by dollars. It's constrained by, do we have people that actually know the product? Do we -- have we trained them? There's not a way in which we can efficiently -- because if you're growing a business 52%, the obvious thing is you should be dumping money on it like a bonfire, especially if it's the only market that actually really matters in the world. And by the way, if you're recalibrating the standard. One of the things we did with PG, we did with GAIA, we did with MetaConstellation, it's not just that we win clients. It's that we set a standard that the competition can never meet. And that this is really important for our go-to-market strategies. It's like you can pretend you're going to build PG. The French government announces they're going to rebuild it for $40 million. You can't rebuild PG for $40 million. You can't rebuild it for $1 billion. You need us. You can't rebuild foundry. You can't really me. When we go to market with the clients are learning two things. They're learning, oh, I could use this. They're learning how to use it. They're also now going to go to every other vendor and say, but I want my thing that provide operational results and Palantir has done this in 6 hours. I like you better. I'll give you six days. I prefer you. Your steak dinner is better. Your suit is better. You're backing from the analysts is better. You don't have the madman sticking up for things that are good and right in the world despite them being unpopular. And you get all that. I'll give you an extra 10 days. Well, try that with PG, it's ridiculous. Try it with foundry it's ridiculous. Try it MetaConstellation, no one even bothers trying that. No one tries us on GAIA and they're not going to try it on an AIP either. And that's 1 of the most important things we do as a company because in the end, it is actually very attached to our mission. My view of what we should do is build products that are so good that the competition stops competing, whether that's in commercial or on the battlefield and that's what we're doing. And that's what we're seeing in AIP, and I haven't seen something like this since PG, which is our first any chair (ph) product. No one bothers even -- like currently, PG is blocked in Germany. That's because somebody doesn't -- whatever, it it's like -- they're waiting for a terror attacks [indiscernible] can win. It's like an sent. So any case, no one's both saying we should build another PG. You can't build it. So you can just opt to not have the product. There'll be people who do that. And that's the aspiration for every single one of our products, and that's what I see in AIP.
Ana Soro: Thank you all. Alex, is there anything you'd like to say before we end today's call?
Alex Karp: As usual, it's a wild ride if you're an investor or if you're an employee internally. We -- there's this term mission-driven culture, which I increasingly don't like because almost everyone is saying it is just waiting to get attendees and then drop their mission and be a softest. But in fact, we are believers, we are fighters, and we are a mission-driven culture, and we welcome everybody who wants to participate that as an investor or as a Palantirian or someone who follows us.
Ana Soro: Thank you. That concludes Q&A for today's call.